Operator: Greetings, and welcome to the Mirion Technologies Second Quarter 2025 Earnings Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce Eric Linn, Vice President of Investor Relations. Please go ahead.
Eric Linn: Thank you, Stacy. Good morning, and welcome to Mirion's Second Quarter 2025 Earnings Conference Call. Joining me this morning are Mirion's Chairman and CEO, Tom Logan, and Mirion's CFO and Medical Group President, Brian Schopfer. Before we begin today's prepared remarks, allow me to remind you that comments made during this call will include forward-looking statements, and actual results may differ materially from those projected in the forward-looking statements. The factors that could cause actual results to differ are discussed in our annual report on Form 10-K, quarterly reports on Form 10-Q and Mirion's other SEC filings under the caption Risk Factors. Quarterly references within today's discussion are related to the second quarter ended June 30, 2025, unless otherwise noted. The comments made during this call will also include certain financial measures that were not prepared in accordance with generally accepted accounting principles. Reconciliation of those non-GAAP financial measures to the most directly comparable GAAP financial measures can be found in the appendix of the presentation accompanying today's call. All earnings materials can be found in the Investor Relations section of our website at www.mirion.com. With that, let me now turn the call over to Tom, who will begin on Slide 3.
Thomas D. Logan: Eric, thank you, and a warm welcome to everyone on today's earnings call. As always, we appreciate your interest in the company. Taking a look at our Q2 results, we demonstrated continued progress on key financial and strategic objectives, most notably increasing adjusted free cash flow generation, stepping up our M&A game and optimizing our capital structure. I'd like to thank my many Mirion colleagues for delivering another solid quarter. In addition, we've increased key components of our 2025 guidance based upon a bullish outlook for the second half. We'll have more on this in a bit. Beyond quarterly results, I'll spend some time discussing the growing momentum in the Nuclear Power sector. Specifically, how it is increasing Mirion's opportunities across the installed base, new utility scale projects and small modular reactors or SMRs. Regarding M&A, last night, we were very pleased to announce the acquisition of Certrec, a leading provider of regulatory compliance solutions to the U.S. nuclear industry and a wider energy power market. We are incredibly excited to welcome the Certrec team on board and believe that together, we can better serve the rapidly growing North American energy markets. Let's turn to Panel 4 to get into the details. Second quarter revenue totaled $222.9 million. This reflects a 5.4% increase in organic revenue and a 7.6% increase in total revenue versus Q2 2024. Higher revenue reflects a $2 million tailwind from our Medical segment due to shipment timing from tariff impacts. And importantly, all 6 end markets from both segments contributed to the growth. Second quarter adjusted EBITDA was $51.2 million, up 4.9% versus last year's second quarter. The Medical segment was a positive contributor in the quarter. Conversely, Nuclear & Safety segment EBITDA was negatively impacted by nonrecurring items. During the quarter, we made significant improvements to our capital structure. In May, we successfully completed a $400 million convertible note offering. Later in the quarter, we refinanced our Term Loan B with a smaller $450 million term loan. The improved capital structure gives us the flexibility for further capital deployment and lowers our total cost of capital. Next, we generated $6 million of adjusted free cash flow in Q2, an 11% conversion of adjusted EBITDA. This, coupled with better- than-expected first quarter cash performance undergirds our increased 2025 adjusted free cash flow guidance. Finally, second quarter orders grew by 1.6%. This growth was primarily from our Medical segment. Nuclear & Safety segment orders were lower in the quarter, which was not particularly surprising given the tough comp from the second quarter of 2024. As you may recall, we experienced 17% order growth in the Nuclear Power end market in Q2 of last year. This comp, combined with timing dynamics, resulted in lower Nuclear & Safety segment orders in Q2 2025. Despite this, we're highly encouraged by growing engagement in the nuclear ecosystem. Year-to-date, we booked approximately $9 million in SMR related orders with 5 different players. Historically, we've disclosed $17 million in aggregate SMR orders, and we're pleased with the accelerating growth in this sector and continue to strengthen our position. Brian will provide more details on our quarterly performance. I'd like to use my time to provide more context around the improving dynamics within Nuclear Power, beginning on Panel 5. As you'll see later, we are increasing our 2025 organic growth expectations for the Nuclear Power sector. We are seeing sizable opportunities across the nuclear landscape. While new builds and SMRs are grabbing the headlines, the installed fleet represents an improving opportunity set for the company. Recall that approximately 80% of the Nuclear Power end market revenue comes from this installed base and is typically accompanied with higher margins. The improving fleet opportunity comes principally in 3 forms: from modernization upgrades, from expanding nuclear capacity and from extending operating life times. Modernization CapEx is the greatest near-term opportunity for the company. As illustrated on the slide, nuclear operators are planning to meaningfully increase their capital budgets over the next 4 years, supporting a growing opportunity for Mirion. The average age today of the operating fleet is around 40 years old. Based on an expected 60- to 80-year operating lifespan, nuclear reactors are today middle aged. As a result, system upgrades and modernization are required to ensure continued, safe and efficient performance. We expect accelerating reinvestment based upon extensive customer feedback. The slide also highlights additional reinvestment opportunities within the installed base. Decisions to expand nuclear capacity either through power upgrades or higher capacity factor targets often require incremental capital investments from customers. We are seeing our customers invest in next-generation in-core and ex-core instrumentation and bring on additional monitoring to more precisely manage key operating parameters. This gives them the confidence to run at higher utilization levels. The third opportunity comes through extending operating lifetimes, including recently announced restarts. This is perhaps the largest opportunity source for Mirion. Life extensions extend the clock on a nuclear facility and drive spare parts replenishment, system upgrades, software royalties and services to support operations for an additional 10 to 20 years. Importantly, when an operator plans on decommission a power plant, they typically reduce CapEx dramatically 3 to 5 years in advance. Thus, decisions to life extend also reverse this subtle dynamic. In July, Vistra received approval from the NRC to extend operations of its Perry nuclear plant through 2046. This is the most recent example of the appetite to extend the life of existing reactors. Given all this, it should not be surprising then that we have been eager to strengthen our nuclear power-related portfolio. Organically, we've been active this year, introducing new products into the market as shown on Panel 6. Earlier this week, I hosted our 20th annual Mirion Connect event with more than 400 in attendance. This annual event brings our customers together to share ideas, showcase our latest innovations and provide continuing education and training. It's also a tremendous opportunity for lead generation. This year marked record attendance as customers are eager to collaborate to solve their most pressing challenges with a far greater sense of urgency. In this vein, last week, we released our Vital Platform. This is the digital ecosystem we foreshadowed in our Investor Day in December, and it's a direct response to customer needs. Vital helps operators to simplify monitoring, streamline operations and improve safety by facilitating real-time monitoring and data collection from thousands of instruments and sensors. Vital is intended to integrate seamlessly to scale with ease and support workflow optimization, and it replaces more than a dozen discrete supervisory software applications. It also provides a platform for our expanding digital offerings to interact on a plug-and-play basis. We also highlighted our LightLink technology at Mirion Connect. This technology allows for superior detection efficiency via the replacement of dated legacy photomultiplier tubes with silicon chips. This advanced technology allows for hyper accurate radiation detection, improved human factors and greater ruggedization. We believe it will redefine industry standards in operational productivity and reliability. Lastly, we announced our next-generation Apex-Guard software application. This digital platform incorporates more comprehensive reporting and improved analytics to drive greater workplace efficiency and inferential reliability. This is particularly relevant for the exploding Nuclear Medicine sector. These product releases are emblematic of our focus on delivering innovations to meet customers' growing needs. We are also broadening our Nuclear Power portfolio through M&A. Yesterday, we announced the acquisition of Certrec, shown on Panel 7. Approximately 55% of Certrec's revenue comes from nuclear power customers, including the operating fleet, new utility scale projects and small modular reactors. Today, every U.S. nuclear reactor facility employs at least one Certrec solution. Certrec's business has grown double digits since 2022, and we believe we can enhance that growth with commercial synergies enabled by our vast global network. As previously mentioned, nuclear power operators are looking to extend operating lifetimes and expand existing nuclear reactor capacity. Certrec solutions help support these objectives by streamlining the regulatory burden. Certrec solution set is also relevant to the SMR sector. Today, there are approximately 127 SMR designs globally, each trying to navigate a complex and burdensome regulatory environment. Certrec's leading position in this space means they will likely benefit regardless of which SMR technologies ultimately prevail. The other 45% of Certrec's revenue comes from the bulk electric system, generally referred to as the grid. This industry is regulated by the North American Electric Reliability Corporation, or NERC, and includes power-generating assets above 20 megawatts connected to the power grid. Until recently, this threshold was 75 megawatts. This is an important distinction as this regulatory change expands the number of assets under NERC's purview by approximately 65%. This represents an additional revenue opportunity for Certrec. In short, this is a fast-growing market in which Certrec is extremely well positioned. We look forward to growing our presence in this space. With that, let me turn it over to Brian to discuss the quarter and 2025 guidance. Brian?
Brian Schopfer: Thank you, Tom, and good morning, everyone. I'll pick up on Slide 8 with details on our second quarter order performance. Orders grew 1.6% in the quarter, driven by our Medical segment. Nuclear & Safety orders were lower year-over-year due to a tough prior year comp from the Nuclear Power vertical. Nuclear Power-related orders increased 17% in the second quarter last year. These orders can be a little lumpy, and we're expecting an accelerated order book in the second half of the year based upon our current pipeline. Still, year-to-date, Nuclear Power orders grew 10%, reflecting the growing momentum in this attractive end market. We are definitely seeing good momentum in the North America -- North American and French Nuclear Power installed base. As Tom discussed, SMR-related activity continues to accelerate. We are highly engaged with key SMR players to support their journey to commercialization. This is a rapidly evolving area, and we're excited to be squarely in the mix. On the Medical side, all 3 end markets, RTQA, Nuclear Medicine and Dosimetry saw order growth in the quarter. This dynamic is particularly impressive in Nuclear Medicine, where we are lapping a 16% organic order increase in the second quarter of 2024. Slide 9 provides an update on the large onetime 2025 order pipeline that we've discussed over the past few quarters. This pipeline is bigger than what we've seen in the past years and indicative of the tailwinds across these key end markets. Today, our pipeline stands at approximately $350 million. We continue to believe we will win our fair share of opportunity set in play. Encouragingly, the project pipeline for 2026 continues to build, and we like our competitive positioning a lot. Moving to the financial results on Slide 10. Second quarter consolidated revenue was $222.9 million, up 7.6% versus Q2 2024. Organic revenue grew 5.4% over the same time period. As expected, FX was a positive contributor to revenue growth, given the weaker U.S. dollar environment versus the euro. Within the Nuclear & Safety segment, we saw organic revenue growth across each end market. The Nuclear Power installed base revenue growth was the largest driver in the segment, reinforcing the importance of this sector to our growth expectations. In the Medical segment, organic revenue grew across all 3 medical end markets. Adjusted EBITDA grew as well, up 4.9% to $51.2 million. While adjusted EBITDA dollars grew, margins contracted slightly due to a couple of nonrecurring items in our Nuclear & Safety segment. We experienced FX-related transactional headwinds in France. In addition, project cost increases for a nuclear project in the U.K., negatively impacted project margins in the second quarter. Lastly, on this slide, adjusted EPS was $0.11 per share, a 10% increase compared to last year. Note that this includes 17.3 million additional shares related to the convertible notes. If you exclude the convertible notes, the warrant redemptions in Q2 '24 and the founder shares that vested in late 2024, our adjusted EPS would have been $0.13. This provides a more apples-to-apples comparison. Regarding the convertible note shares, from a GAAP perspective, we're required to use the fully diluted share count. You can see on Slide 29 in the appendix, how the convertible and cap call structure impacts share count at certain share prices. Most importantly, there is 0 dilution until the share price approaches $35. And even at $60 per share, the effective dilution is approximately 40% of the GAAP number. Moving to the segments, beginning on Slide 11. The Nuclear & Safety segment revenue grew 5.8% to $141.7 million. Organic revenue grew 2.9% in the quarter. Year-to-date, organic revenue grew 5.2% through the first half of the year. Labs & Research has been softer than expected, reflecting DOGE and budget uncertainty confronting the U.S. Department of Energy as well as tariff uncertainty from China, significantly -- more significantly, our Nuclear Power end market is exhibiting double-digit year-to-date revenue growth. Adjusted EBITDA declined slightly to $37.9 million, down 2.6% versus the second quarter last year. Adjusted EBITDA margins contracted in the quarter reflecting a few nonrecurring cost items we already discussed. Moving next to the Medical segment on Slide 12. Segment revenue grew 10.9% to $81.2 million. Organic revenue grew 10.1% in the quarter. Revenue was $2 million higher due to some accelerated shipments, mostly in RTQA to get ahead of expected tariff implementations early in the second quarter. This was partially offset by the lapping of our laser business closure. This will be the last quarter for our laser's business adjustment. If we normalize for these, each Medical end market performed well in the quarter. Medical segment adjusted EBITDA was $30.1 million, up nearly 20% versus last year. Adjusted EBITDA margins increased approximately 280 basis points. This margin performance was in line with the expectations we shared on our first quarter earnings call. Margin improvement reflects the power of our intrinsic operating leverage we've been discussing. In addition, procurement and mix performance positively impacted margins in the quarter. Let's spend a few minutes on adjusted free cash flow on Slide 13. We continue to improve adjusted free cash flow in the second quarter, adding another $6 million, to end the first half of '25 with $35 million of adjusted free cash flow. Most importantly, we're improving our conversion as well. Beyond higher earnings, the biggest drivers continue to be net working capital improvements, an optimized capital structure and tight controls around CapEx. For instance, our net working capital, project cash flow management and improved collection performance contributed positively to the first half of the year. We continue to expect improved productivity in net working capital through year-end. Within our capital structure, a lower SOFR rate environment over the past 12 months was a tailwind for interest expense as was the debt refinancing we did in 2024. Separately, we successfully launched a convertible note in the second quarter and amended and extended our existing term loan, pushing its maturity to 2032 and significantly reducing the principal amount. These actions will be more impactful on the back half of 2025 and fully reflected in 2026. Lastly, year-to-date CapEx totaled $17 million, approximately $7 million lower than the first half of 2024. We're on track for 2025 CapEx of $40 million, an 18% reduction versus 2024. Before we open the call to Q&A, Slide 14 details our updated 2025 guidance. We have raised and tightened key 2025 metrics, including total revenue growth, adjusted EBITDA, adjusted free cash flow and adjusted EPS. We slightly lowered organic revenue growth, but most importantly, we raised organic revenue growth within the Nuclear Power end market. Let's get into the details. Moving top to bottom on the slide, organic revenue growth was revised lower to reflect U.S. government budgetary headwinds impacting our Labs & Research business we already discussed. Recall that this end market within our Nuclear & Safety segment includes business from the U.S. Department of Energy and Universities. As a result, we lowered Labs & Research expectations from low single-digit organic revenue growth to modestly negative growth in this end market. These reductions are being largely offset by increased organic growth expectations from our Nuclear Power end market. We now expect 2025 double-digit organic growth from Nuclear Power versus high single digit previously. Next, total revenue growth is expected to be 7% to 9%, up from 5% to 7% previously. This reflects a 125 basis point tailwind from foreign exchange and a 100 basis point improvement from the acquisition of Certrec. These tailwinds more than offset the slight adjustment to 2025 organic revenue growth. Adjusted EBITDA is now expected to be between $223 million and $233 million, up from $215 million to $230 million. This reflects the previously mentioned revenue drivers as well as revised cost inputs from tariffs and foreign exchange. Adjusted free cash flow is forecasted at $95 million to $115 million, representing both an increase to total dollars and the expected conversion rate. The increase reflects higher expected EBITDA, lower cash taxes and net interest expense savings. Project cash flow timing in the second half will likely cause net working capital to be a use of cash for the full year. Lastly, adjusted EPS is expected to be between $0.48 and $0.52 per share and reflects the full GAAP impact of the additional shares related to the convertible note. We've included in the appendix a slide that illustrates changes to 2025 guidance over the past 4 disclosures. For the third quarter, we're expecting Nuclear & Safety segment adjusted EBITDA margins to be flattish year-over-year before rebounding nicely in our seasonally strong fourth quarter. In our Medical segment, adjusted EBITDA margins should show slight year-over-year expansion. Medical segment organic revenue growth should return to mid-single digits, accounting for the shipment timing of sales volumes related to potential tariff impacts in the second quarter. With that, we're happy to take your questions.
Operator: [Operator Instructions] Your first question comes from Chris Moore with CJS Securities.
Christopher Paul Moore: Maybe just start on the new nuc side. So obviously, it takes many years to get a new nuclear plant from concept to energy production. Can you at all quantify the number of new opportunities you're looking at now, say, versus 2 years ago?
Thomas D. Logan: Yes. I mean, broadly speaking, Chris, what I would tell you is that both the quantum of new projects and the desired timing of those projects continues to accelerate. I think historically, we have touted the strategic alliance we forged with EDF in France that could span well over 20 years and cover all of their new EPR reactors, of which many are planned for France, the balance of Europe and other parts of the world. But we're encouraged of late by what's happening here in the U.S. I think if we had been having this conversation certainly 2 years ago, even a year ago, we still would have been skeptical about the prospects for new utility scale nuclear in the U.S. But right now, it is being openly discussed that Westinghouse, one of the leaders in the global reactor design space, is talking about up to 10 new AP1000 reactors in the U.S. with starts prior to 2030. So this is very encouraging. And again, it's kind of the tip of the iceberg because you have to go well beyond utility scale, well beyond Westinghouse and EDF and look at the many other players globally. The Russian firm Rosatom, the Koreans, certainly the Chinese, all players in that utility scale place a space. But on top of that, you again have this array of SMR players, the 127 discrete projects that we talked about. And what's happening today that maybe a little bit different is that not only are we seeing an accelerating pathway, again, just driven by the extreme urgency caused by this AI catalyzed shortage of electrical power, but also caused by meaningful shifts in policy stance, particularly in the U.S., is that people are moving faster and more deliberately and with greater confidence. And so as a consequence, right now, we are engaged in many strategic discussions that go beyond simply project-related or transactionally oriented deals to frame agreements where all of the major players are looking to consolidate supply chains, link up with strategic partners that can really carry them through the next decade and beyond. And this is what I'm more excited about than anything in this space. Again, just the magnitude and the intensity, the activity here is innovating. So while I'm not going to give you a specific number, I would tell you that the -- again, the quantum is growing, time lines are accelerating. And I think the tangibility of what's there continues to solidify. So we're pretty fired up about this.
Christopher Paul Moore: That's really helpful. Maybe just a follow-up. Could you talk a little bit more about the Certrec acquisition? How it fits in with the core business and synergies? Why you're so excited?
Thomas D. Logan: Yes. Certrec is an unbelievable company. It's founder-led Ted Enos built the business and has run it throughout its lifetime. And it really is a unique asset that today really defines the space that they're in. We touched on some of the key financial metrics in terms of how it's performing, $17 million in revenue, very, very attractive margin profile, incredible customer retention, 110% net revenue retention overall. Their platform includes 15 different SaaS applications, and they play today within a total addressable market that's just shy of $900 million. What's also very, very interesting about Certrec is that they possess 15 terabytes of unique industry data, which is an extraordinary number overall. And I think it's self-evident to everybody that when you think about the AI potential that, that represents not only in terms of further streamlining their core software and services delivery today, but also what it means in terms of streamlining and accelerating regulatory approval processes, that is incredibly attractive and one of the -- one of perhaps the less visible assets with us. The attractiveness to us, firstly, is that the majority of their revenue is in nuclear power. This year, about 50% of the revenue will come from the installed base. About 6% will come from nuclear new builds. And this is obviously core to our strategic focus right now. And we love it because, again, the recurring revenue, SaaS-based software, massive, massive, massive AI potential here. But on top of that, the other 42% of the business, this NERC/FERC business that extends to the broader electrical grid is also relevant and important to us overall. Fundamentally, when you look at the value proposition that Certrec brings to bear, at their core, the problems they're trying to solve, the customer pain points are that today, absent a solution like theirs, there's significant risk of human error. There is an immense volume of complex standards to track, to understand and to apply. You have a situation where industry experts that really have the legacy knowledge are retiring. And insufficient expertise is a real threat on the customer side. The solution that Certrec offers essentially is the ability for their customers to outsource noncore mission-critical functions to decrease the risk of license revocation, fines, et cetera, to increase communication efficiency with regulators and fundamentally to ensure grid continuity, sufficiency and security. So we're excited about it, firstly, because, again, it fits squarely within our focus on nuclear power delivery. It fits squarely within our focus on continuing the digital evolution and particularly the AI-enabled digital revolution that's taking place in our various markets. And finally, working together with the Certrec team, we think there is a huge opportunity for us to tap into our vast commercial network to provide them stronger and more efficient infrastructure. And again, recognizing their margin profile, their incredible capabilities as a team, we think this is going to be a great asset for us overall.
Operator: Next question, Joe Ritchie with Goldman Sachs.
Joseph Alfred Ritchie: So my first question, look, it was good to see the Nuclear Power growth rate raised for the year. I guess if I go back to Slide 5, right, you talked about like 80% of your revenue coming from your installed base. I know this is simplistic, but should we be thinking about kind of like, I don't know, 8 points of growth coming from the installed base this year? And what I'm really trying to get at is you talked about extensively having conversations with your customers. And I think what I'm trying to figure out and I think what investors are trying to figure out is like how bankable is the growth rate from the installed base, not just this year, but really beyond this year?
Thomas D. Logan: Yes. And here, Joe, we have to approach it axiomatically because the dynamics are changing rapidly and broadly. But the key fundamentals here are that, a, there is insufficient electrical generating capacity globally to support current needs and those needs continue to grow at a very high rate, again, based upon the work of hyperscalers in support of AI overall. Secondly, policy shifts clearly have favored nuclear power, not just in the U.S. but around the world. And market dynamics have adjusted to make nuclear power plants very profitable. And so fundamentally, over -- what has been about a 5-year period, we have seen a shift from kind of tepid fundamentals in that market to very, very strong fundamentals. And recognizing that over the last 20- plus years, this has been a tough market. Over much of that time, nuclear power stations were losing money and many were targeted for early decommissioning. So as a consequence, we have a buildup of underinvestment in those power plants where people were operating under extreme capital rationing modes. And so the first thing that's happening is that as we see capital budgets swelling, operators are investing in current infrastructure to modernize it, bring it back up to snuff and then to prepare for the things that we touched on, which is the broader modernization, trying to operate plants at higher capacity factors, contemplating uprates and life extensions across the board. Not only does this reverse that dynamic of extreme capital rationing, but it also, over time, is shifting their footing toward more growth capital to enable these things. And so those are the fundamentals that are essentially underpinning the overall operating fleet. And at the end of the day, when you look at the broad array of solutions, not just instrumentation, but software and now with the Vital Platform, Vital-enabled software and services, the fundamentals are like nothing that we have seen literally in a generation. And so from our standpoint, as we look at this, while we're not going to quantify a specific number in terms of longer-term growth rates in the space, clearly, it is moving up and to the right. And our expectation is that this is a generational trend that we're going to work very, very hard to exploit continuously.
Brian Schopfer: Yes. Maybe just one added color without giving you the exact numbers, Joe, one of the things I pointed out in my commentary is we saw -- we've seen year-to-date good growth out of both North America and France. These are both installed base markets for us today. I think we're encouraged by the new build opportunities in both markets with what EDF announced in France and Tom's comments on Westinghouse. But today, they're basically installed base markets for us. So I think you can read that as you will.
Joseph Alfred Ritchie: No, that's helpful qualitative color, guys. I guess shifting to orders and the $350 million pipeline that you guys have discussed, I fully recognize also the second quarter, you guys had a tough comp. I guess what we're trying to understand is like, has the $350 million kind of pushed to the right a little bit? Is the opportunity still substantial into the second half of the year? And I guess, specifically, I'm going to go back to numbers, but like could there be a quarter where you guys see like a $300 million-plus order quarter because of this large opportunity that you have?
Thomas D. Logan: I think we're unlikely to see a $300 million order quarter. But having said that, the -- again, as Brian said, we like where we sit in this opportunity set overall. Some of it has shifted to the right, mainly the government-related stuff because of DOGE-related noise and budgetary uncertainty. There is some possibility that given the government year-end and at the end of September that we may see a little bit of more accelerated order intake in that sector overall. But bear in mind that when you look at the composition, what's in there, it is government-related and new project related in the main. And there's always some risk of timing slippage in these arenas. But what we said is that we expect to win our fair share of this. Again, we like where we sit today. Can't control the timing. But bear in mind that, again, these are large orders that we have called out to go above and beyond the core flow orders in the business. And ultimately, we do expect to monetize a decent chunk of this.
Brian Schopfer: I think the other maybe a couple of things is, one, it's been a fairly consistent number. I mean this quarter, we gave a number versus a range just because we felt like that was more appropriate. Two, I made this comment a quarter ago, things are moving -- have moved in and out. So new things have come in, other things have moved out. I think that's actually encouraging, not discouraging. And I also would tell you, we like what we're seeing in the '26 on some of these larger projects. We haven't decided if we're going to quantify kind of what those numbers look like. But I would say the '26 pipeline on larger deals continues to build. And every week and every month, there's new stuff kind of being added. Again, timing kind of continues to be a little bit the wildcard. But we feel -- we continue to talk about it, which means we feel -- we continue to feel pretty good about it.
Joseph Alfred Ritchie: Got it. If I could just sneak in one more for you, Brian. Just the margins on Nuclear & Safety and specifically the project cost increase in France, understand like the FX transactional piece of the issue. What I'm trying to understand is whether there is kind of like a lingering margin issue or cost issue associated with that project that we -- that maybe kind of hampers margins through the rest of the year? I'm just trying to understand like the implications of it.
Brian Schopfer: No. The challenge with just the accounting of the large projects is if you're significantly way through the project and there's some cost to come, you have to take a significant amount of that cost all at one time in a quarter. So it just shows up weird in a quarter as you're truing those things up, Joe, less -- more than we're worried about project margins. This project actually will end up with kind of margin rates we expected. When we started the project, that's ebbed and flowed over the 5-plus years that we've been executing on it. So look, we are super proud of the team in France. We've seen just an amazing kind of up into the right out of that business since 2 years ago. We have a lot of confidence in everything they're doing. And we're excited about both the operational and the commercial direction that's happening in Europe more than -- as much as anywhere else candidly and in some instances more. So I think we're making great progress operationally, and I think you'll continue to see that in the numbers. I would tell you we're not backing off our 30% number. We're still very squarely committed to that by '28.
Operator: Next question, Andy Kaplowitz with Citigroup.
Andrew Alec Kaplowitz: Tom or Brian, maybe I'll try Joe's question in a slightly different way. If we're sitting here at the end of the year, would you be quite disappointed if your backlog or at least your commercial nuclear backlog isn't higher than it is today?
Thomas D. Logan: I think we would. Yes. I think the -- again, given what we're seeing, Andy, that would be a surprise to all of us. So yes, the short answer is yes, we would be disappointed.
Andrew Alec Kaplowitz: Easy enough. And then, Tom, maybe just SMR orders, like, obviously, there's still kind of small numbers, but there's obviously been a ton of noise around SMR lately, as you kind of pointed out. So does SMR orders, did they become a more meaningful part of your order ramp up? Even over the next 6 to 12 months, like we all kind of thought it was next decade, but it does seem like there's some real activity here over the next few years. So does it become meaningful faster now, at least in the order profile?
Thomas D. Logan: Andy, we continue to be cautious here. Again, recognizing that there -- this is an industry, a space, a sector that will go through some level of consolidation. Clearly, the -- we're not going to have 127 viable SMR players 10 years from now. And so we expect that right now, as we kind of churn through this wave of first-of-a-kind reactors, that this is the time when strategic alliances are being forged. We're working hard to make sure that we get our fair share or better of positioning in the leading players in the space overall. Clearly, it has accelerated faster than I would have guessed a year ago. And so we like the cadence of what we're seeing. We love the engagement that we're enjoying right now experiencing with these players, but we're going to continue to be cautious about this. Again, we've got to get through first of a kind, see how those work out and where the real growth begins is that when you then get into the broader proliferation and extension of those the first-of-a-kind types. So again, we continue to be cautious. We're happy that we are seeing an acceleration, but I'm not going to call for some dramatic spike above and beyond where we are.
Andrew Alec Kaplowitz: That's helpful, Tom. And then maybe given concern about hospital reimbursement, you mentioned DOGE, it's obviously not surprising that you're seeing some modest impact on Mirion, but maybe you could talk about the resiliency of your medical and labs businesses moving forward that you won't see incremental sort of negative revisions to your growth forecast? I mean is this kind of you adjust and then you move forward in Medical overall still, call it, a mid-single-digit plus business?
Thomas D. Logan: Yes. This is an area where I think we've highlighted over the last 3 quarters that we're watching this. Clearly, there is a lot of battlefield haze right now within the medical community overall, just given the uncertainty around budgetary dynamics. DOGE was a part of that. Certainly, in the recent tax bill, the cutbacks to Medicaid are a part of that overall. And so we have been pushing the team very, very hard for the better part of the last year to give us the best possible insights in and around this market and really to be looking around corners for signs of what you articulated. And what we're seeing so far is that our markets have held up pretty well, in part because radiation therapy, in general, tends to have a higher proportion of reimbursement dollars coming from Medicare versus Medicaid and from private insurance overall. But secondly, given the imperative to improve efficiency within radiation therapy clinics, that plays well with our solution set. Our product offerings are all about efficiency and accuracy and help drive greater patient throughput in these facilities. The central part of that is our SunCHECK software platform, which at its heart is a workflow platform that drives great efficiency in that environment. But on top of that, it's all of our hardware applications that in a very efficient fashion across different RT platforms, so not just Varian, but Elekta and others help support that kind of efficiency. So to be clear, we continue to be very watchful around this market and the dynamics. We are pushing the team hard to give us any early signs that there may be a change or an erosion in the rate of growth. I would tell you that today, we have not seen that as of yet.
Operator: Next question comes from Yuan Zhi with B. Riley Securities.
Yuan Zhi: Can you help us understand the current supply and demand dynamic with your Nuclear Medicine customers? Are they sensitive to pricing due to the current funding status? Or is the demand growing much faster than the supply right now?
Thomas D. Logan: Yes, Yuan. What I would say is that if you look at -- there are really 2 components associated with our Nuclear Medicine business. One is kind of our core hardware offerings where the franchise product there would be dose-calibration instruments. And above and beyond that is clinical instruments and transport equipment, compounding equipment, syringe shields and the like. But really think of dose-calibration instruments as being the bellwether. And then the second major component is our software platform, our ec2 software platform which uniquely is connecting drug makers and isotope producers and CDMOs and radiopharmacies and clinics. When we look at the overall growth rates and the demand that we're seeing, we do like our positioning. If you look at the margin profile of this business overall, it continues to improve, which is emblematic of a combination of both pricing power as well as the fact that we are mixing up in this space, principally through a higher proportion of software sales overall. But the fundamentals here continue to be tracking with our expectations that there -- as you know, better than most. The theranostic movement, the theranostic revolution is real, and we're seeing a lot of activity in and around that. So our view is that if the trends continue as we believe they will, that will continue to drive margin accretion in our business and support the kind of longer- term growth that we've called for.
Yuan Zhi: Got it. It's also great to see the strong SMR backlog growth in 2025. Sorry, I have to ask Andy's question in a slightly different way. If we exclude SMR in the order books in both 2Q 2024 and 2Q 2025, what is the growth from the conventional nuclear power in the order book?
Brian Schopfer: That's I got to see if I have the data in front of me, Yuan. I think if you look at it from a quarter or a year-to-date perspective, I would tell you that we are -- sorry, I got the wrong page. Apologies. If you look at it from a year-to-date perspective, we still have positive order growth in the Nuclear Power segment. Again, you got to be a little bit careful kind of trying to parse things in and out here because of the lumpiness of some of the orders, which is why I don't want to give a precise number because at the end of the day, that could change with -- when we win a large order in the third or fourth quarter. So we still feel very good about the order dynamics, even if you exclude the larger SMR order that we're seeing kind of in the underlying base. And most importantly, I mean, our revenue numbers are double digits, and I would tell you that with very little SMR revenue running through the P&L today. So that is, I think, the most encouraging thing.
Operator: Next question, Rob Mason with Baird.
Robert W. Mason: Tom, I wanted to go back to your conversation around the installed base in Nuclear Power, where you talked about the larger buckets of opportunities. But you mentioned life extensions, perhaps the largest opportunity for Mirion. Is there a sort of more quantitative way that we can think about that? You've been helpful in the past talking about content per reactor on new builds, maybe on a per megawatt basis. And I'm sure there's much more variability around life extensions. But is there a metric that we can think about to properly size what that opportunity could be?
Thomas D. Logan: Rob, we've not guided a specific metric because this is something that can vary depending on the type of reactor. Is it a pressurized water reactor? Is it a boiling water reactor? Is it a heavy water reactor? And so there's variability in and around all of those things. And to some degree, it's also -- there's also variability induced by the size of the fleet. So if you look at somebody like Constellation, the #1 operator of nuclear power plants in the U.S. versus others who may be operating a single power plant, it varies depending on how that -- how those fleets are being managed overall. But what we have said and what I would reiterate here is that when you are looking at a life extension event, that typically, that is a trigger for a higher degree of modernization CapEx relating not only to instrumentation, but also to software. This is where there are certain product categories like radiation monitoring systems, which typically have about a 20-year replacement cycle, give or take a few years, again, depending on facts and circumstances. But oftentimes, when an operator is making a decision to life extend a power plant, that's when they'll say, okay, we need to upgrade our core RMS systems. So again, it varies across the board. So I'm hesitant to give you any specific guidance on the numbers are in this range and you can put that into your model.
Robert W. Mason: Sure. Well, maybe this is somewhat related. The -- during the quarter, you did announce the partnership with Westinghouse around some of your instrumentation in particular. My sense was historically, that fleet, Westinghouse fleet had -- you not had as high a representation there. So am I right in thinking about this is more around potential share gain on top of replacement activity for you within that fleet? And is there any way to put some broader numbers around what that opportunity could be?
Thomas D. Logan: Yes, that's 100% accurate that this is an opportunity to essentially upgrade the fleet that Westinghouse covers with a digital neutron flux measurement system. And these instruments just for the uninitiated or essentially measuring a variety of parameters inside the reactor core and immediately outside of the reactor core, the most important of which is neutron flux, which is the -- essentially the volume of neutrons that pass through a defined volume in a given period of time. It's essential to understand those dynamics because that provides a lot of insights about the operating quality and the safety of the combustion that's taking place inside that reactor overall. Our digital solution is unique. Westinghouse obviously sees it as a great opportunity in their broader service and maintenance business to utilize this as kind of a core offering in upgrading reactors overall. We see a sizable opportunity to retrofit the installed base within the U.S. And more broadly, not just through the Westinghouse deal to leverage this technology on a global basis overall. So in our view, this is an opportunity for share pickup. It's not merely replacing our legacy products with something newer and better.
Robert W. Mason: Very good. Maybe just last question. Brian, talking about the margin expansion, I guess, in Medical, you mentioned procurement is one of the contributors and that was obviously something that was part of the algorithm that you unveiled at the Investor Day around 2030 margins. But could you just update us more broadly where you are in that effort relative to the, I guess, the target that you issued at that time? And how should we think about just phasing in of that procurement?
Brian Schopfer: Like I think I said to Joe, I think, we're still very committed to the 30% EBITDA margin target. Obviously, this year, our guide still indicates kind of more than 100 basis points of margin expansion. That's our expectation. Obviously, that means it needs to pick up from here, and that's what we're very focused on. And even an acquisition like Certrec, although not contemplated then, helps with this journey. They actually have better EBITDA margins than we do as a company. So that's helpful. So I think we're still -- I know we're still -- we're still very committed to it. The idea generation and the tactical pipeline is still very robust. We like what we're doing on the procurement side. One of the things that we've announced internally, and we should talk about it a little bit here is some of the variabilization of our -- both our software and IT labor in a deal that we did a partnership deal with a large partner in this space called Cognizant that we're super excited about, and we think we'll add a ton of value for us, both on the cost side, but actually even more importantly on the speed to market side for new software products. And that's something that we continue to implement here over the next couple of quarters. So we feel good. I think one of the things you saw in the medical space this quarter is just that operating leverage. I mean when you get into these high single digit and in this case, double-digit kind of quarters, the P&L structure really plays to our favor, specifically in that business. And we saw 200 basis point margin expansion plus across every one of the businesses we have within our medical business in the second quarter. So we're excited about where we're going. And we're even -- I would tell you, we continue to have a lot of conviction around our targets.
Thomas D. Logan: Yes, Rob, just to tag on to Brian's comments, too. Historically, the -- we've been very clear that the pathway to 30-point margins is the combination of operating leverage, which is the biggest single lever and that's what's carried us historically. It's price, it's procurement. It is continued footprint rationalization. It's the fact that with our clear focus on digital, we expect that we're going to continue to mix up overall from a margin standpoint. But there's something new that's emerging here that I think is worth touching on and that's AI. In this recent announcement where I've stepped away from running the medical group, Brian has picked that up. A major factor behind that is that I'm dedicating a substantial proportion of my cycles, if you will, toward AI. And we see 2 enormous opportunity sets in that regard. One is internal, where part of it is the future of work. I know that today, 1/3 or more of my job can be done better with AI and independent autonomous agents than I can do it personally. I know that to be true for just about every non-shop floor position within our business. We know that AI represents not in the future, but today, an opportunity for us to substantially improve our -- not only our efficiency but also our net output capabilities from a human capital standpoint. Additionally, internally, there are more and more near-term opportunities to harness AI for supply chain management, for conversion activities, think of it in terms of master production scheduling for distribution capabilities, for product design capabilities, et cetera. And we're in the process of really windowing our hierarchy priorities to make sure that we're getting after this aggressively. The second bigger bucket is the customer-facing stuff, where clearly, we see enormous opportunities to improve the utility that we are bringing to our customers through AI solutions. And again, we're taking this very seriously devoting substantial resources to it. In all of this, at the end of the day, when you come back to the margin equation is an additive factor to what we've talked about historically.
Operator: I would like to turn the floor over to Tom Logan for closing remarks.
Thomas D. Logan: Well, folks, thanks again for your time and attention today. Again, we're happy about the quarter. We feel like, again, we continue to improve our financial metrics, our operating metrics. We continue to be very bullish about the order pipeline and extend -- expect to continue to extend the dynamics there in terms of what we bring down over the course of the year. So we continue to enjoy the tailwinds that we see. We -- there continues to be some noise in the market in and around tariffs, global geopolitics, reimbursement dynamics, et cetera. But our view continues to be that the tailwinds beat the headwinds here. We like where we sit and feel good about how the year is unfolding. So again, we appreciate your time and attention today, and we'll very much look forward to speaking with you again next quarter.
Operator: This concludes today's teleconference. You may disconnect your lines at this time, and thank you for your participation.